Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Third Quarter Fiscal Year 2022 CarMax Earnings Release Conference Call. At this time all participants are in listen-only mode. After the speakers’ presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, David Lowenstein, AVP Investor Relations. Please go ahead.
David Lowenstein: Thank you, Jerome. Good morning. Thank you for joining our fiscal 2022 third quarter earnings conference call. I'm here today with Bill Nash, our President and CEO; Enrique Mayor-Mora, our Senior Vice President and CFO; and Jon Daniels, our Senior Vice President CAF Operations. Let me remind you our statements today regarding the company's future business, plans, prospects and financial performance are forward-looking statements we make pursuant to the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995. These statements are based on management's current knowledge and assumptions about future events that involve risks and uncertainties that could cause actual results to differ materially from our expectations. In providing projections and other forward-looking statements, the company disclaims any intent or obligation to update them. For additional information on important factors that could affect these expectations. Please see the company's Form 8-K issued this morning, and its annual report on Form 10-K for the fiscal year ended February 28, 2021 filed with the SEC. Should you have any follow-up questions after the call, please feel free to contact our Investor Relations Department at 804-747-0422, extension 7865. Lastly, let me thank you in advance for asking only one question and getting back in the queue for more follow-ups. Bill?
Bill Nash: Great. Thank you, David. Good morning, everyone, and thanks for joining us. We're very pleased with this quarter. We delivered record levels of used and wholesale sales, as well as EPS for the third quarter. We also delivered all-time high margins in both used and wholesale. For the third quarter of FY ’22, our diversified business model delivered total sales of $8.5 billion up 64% compared with the third quarter of FY ‘21, driven by both higher average selling prices and volume gains. Net earnings per diluted share was $1.63, up 15% from a year ago. Across our retail and wholesale channels, we sold approximately 415,000 cars in total, up 29% versus third quarter last year. For the first nine months of FY ’22, we sold approximately 1.3 million retail and wholesale cars combined, as we set new records in each month. We continue to be the largest buyer of vehicles from consumers. We bought approximately 383,000 cars from consumers in the third quarter, which is up 91% versus last year. And again, we achieve self-sufficiency above 70%. Our customer-centric omni-channel strategy, solid execution and macro factors are driving performance across our company. In our retail business, total unit sales in the third quarter were up 16.9% and used unit comps were up 15.8 versus the third quarter last year. We experienced robust demand as we ramped staffing levels and built inventory. CAF and our credit partners also supported our sales by continuing to deliver strong credit offers, even as our average sales price grew by over 30% year-over-year. We achieved sequential growth and saleable inventory each month within the quarter. While inventory and staffing remain below our targets, we are pleased with our momentum and are confident that we have access to the resources we need to build inventory ahead of tax season, the retail demand will determine the pace. In addition to strong unit sales, we reported record retail gross profit per use unit of $2,235, up $84 per unit versus the third quarter last year. With used car prices at all-time highs, we chose to pass along the majority of our self-sufficiency driven acquisition cost savings to consumers via lower prices. We believe we struck the right balance between increasing our margins and supporting our customers in atomic elevated industry prices. Wholesale units were up 48.5% from the third quarter last year, and gross profit per unit achieved an all-time record of $1,131 compared with $906 a year ago. The strength in wholesale units was primarily driven by the ongoing success of our instant online appraisal offering. We also benefited from still elevated valuations of used autos in the broader market. CarMax Auto Finance or CAF delivered income of $166 million down from $176 million during the same period last year. CAF margins remain strong. Year-over-year financial results were impacted by a $68 million headwind and reserve adjustments. As a reminder, last year's quarter benefited from a reduced provision coming out of the pandemic, and this year's quarter reflects a more normalized provision. CAF and our partner lenders delivered strong offers in all credit tiers. In a few moments, Jon will provide more detail on customer financing and CAF contributions, as well as on the impact of the auto loan receivable systems conversion. Right now, I'd like to turn it over to Enrique, who will provide more information on our third quarter financial performance. Enrique?
Enrique Mayor-Mora: Thanks, Bill, and good morning, everyone. Total gross profit was $837 million, up 32% from last year's record third quarter. This was driven by a wholesale vehicle margin of $212 million, which was up 85%, and used vehicle margin of $508 million, which was up 21% from last year's third quarter. Other gross profit was $116 million, up 18% from last year's third quarter. Favorability in the quarter included $20 million of margin contribution from Edmunds. Other gross profit also benefited from a $12 million improvement in third-party finance fees, with income of $1.6 million compared to a $10.6 million cost last year. This was driven by renegotiated third-party finance fees and lower Tier 3 volume compared with last year. Also, positively impacting other gross profit, EPP was up $5 million or 4.8%. While penetration was stable at approximately 60%, this year's third quarter reflects a $6 million unfavorable return reserve adjustment compared to a $3 million favorable return reserve adjustment during the prior year's quarter. Partially offsetting gross profit favorability, service was down $21 million from the prior year's quarter. This was driven by pressure primarily related to our efforts to grow technician staffing, as well as a shift in some retail service capacity to instead support use car reconditioning. Service gross profit versus the prior year period improved in each month during the quarter, and we anticipate that results will continue to improve into the fourth quarter. On the SG&A front, expenses for the third quarter increased to $576 million, up 34% from the prior year's quarter, due to costs related to unit volume growth and continued investment in our strategic initiatives. SG&A as a percent of gross profit was roughly flat at 68.8% compared to 68.2% during the third quarter last year. The increase in SG&A dollars over the last year was primarily driven by three main factors. First, a $100 million increase in total compensation and benefits, driven by a strong ramp in staffing, a $23 million increase in stock-based compensation, unit volume-related commissions, and the inclusion of Edmunds payroll this quarter versus a year ago. Second, a $22 million increase in other overhead, which includes our receipt of a $23 million settlement from a class action lawsuit. The remainder of the change primarily reflects investments to advance our technology platforms and strategic initiatives, and the impact of COVID-related cost savings in the prior year quarter.  And third, a $17 million increase in advertising expense, as previously communicated to drive customer acquisition and to amplify the CarMax brand by continuing to build awareness of our omni-channel offerings. For the first nine months of fiscal year ’22, SG&A as a percent of gross profit was 66.1%, leveraging approximately three points over last year's nine months percentage of 68.9%. We remain committed to ensuring that we are efficient and effective in our spend. And we expect that our targeted areas of focus will continue to deliver results over time. During the third quarter, from an efficiency and effectiveness perspective, we saw solid improvements in the service levels of our CECs and their conversion of web leads. This was despite the record level of volume that our CECs handled in the third quarter. This improvement was due to a combination of successful staffing ramps, and ongoing utilization of our AI and machine learning processes that drive the right work to the right associates. We also continue to see efficiency gains in our buying organization. The combination of our instant offer program along with the investments we've made in data science, automation and AI, continue to materially drive down our costs per buy. From a capital structure perspective, we ended the quarter with an adjusted debt to capital ratio in the middle of our targeted range of 35% to 45%.  During the quarter, we entered into a $700 million term loan agreement primarily to support the growth of our total inventory dollars. In regard to our share repurchase program, we remain committed to returning excess capital to shareholders, and repurchased approximately 850,000 shares in the quarter for approximately $115 million. Now, I'd like to turn the call over to Jon.
Jon Daniels: Thanks, Enrique. Good morning, everyone. Once again, our finance business has delivered solid results. For the third quarter, CAF’s penetration net of three day payoffs was 42.2%, compared with 45.7% observed last year. Tier 2 increased to 22.2% of used unit sales, compared with 19.5% last year. Tier 3 accounted for 6.5% of sales, compared with 9.7% a year ago. The year-over-year change in CAF penetration was driven by a larger percentage of customers, leveraging cash or outside financing for the purchase of their vehicle, while as CAF comping over a historically high penetration in Q3 of FY ‘21. We continue to observe strong credit offers from our Tier 2 partners as they compete for additional volume within the CarMax channel. These offers along with a decrease in application volume and the lower portion of the credit spectrum contributed to the swap in volume between Tiers 2 and 3.  CarMax continues to provide outstanding access to financing for our customers across the credit spectrum. Our approval rates this quarter remain over 95%, despite financing amounts that are approximately 25% above the same period in 2020. This ability to maintain such a strong credit offering speaks to the value of our multi lender credit platform supported by CAF, and our long-term finance partners. During this year’s third quarter on the strength of record used unit sales, CAF’s net loans originated was nearly $2.4 billion. The weighted average contract rate charged to new customers was 8.3%, down from 8.6% a year ago, and 8.5% in the second quarter. The difference in APR is primarily a result of the change in the credit mix of customers, along with rate testing, that CAF executed within the quarter. CAF income for the quarter was $166 million, down $10 million from the same period last year. This included a more normalized loan loss provision of $76 million as compared to the significantly reduced provision of only $8 million in the same quarter last year that was driven by the continued reduction of the reserve that was established at the start of the COVID pandemic, almost fully offsetting the provision headwind with a year-over-year increase in total interest margin of $65 million or 7.2% of managed receivables. This year-over-year margin increase highlights the strength of our ABS program, the favorable state of the capital markets and our continued growth in receivables. The current quarter’s provision of $76 million results in an ending reserve balance of $427 million or 2.75% of managed receivables. This is up from 2.66% at the end of the second quarter, and includes 6 basis point adjustments to the added Tier 2 and Tier 3 volume CAF is now originating. The adjustment was primarily driven by the implementation of our Tier 2 origination test. Remember, contribution from CAF originations is recognized over the life of the receivables, or the loss reserve is recognized at the time of origination. Note also, that the core portion of the reserve allocated to Tier 1 loan losses, remains well within our historical range of 2% to 2.5%. During the third quarter, we transitioned from CAF’s legacy auto loan receivable servicing systems to brand new systems. The new platform went live in October and included a period of planned downtime and a number of operational areas, including collections and customer service. This required pause in our business resulted in an increase in delinquencies and losses that we expect to normalize over the coming months, as both our systems and processes stabilize. This had an immaterial impact to the loan loss provision on the quarter. Additionally, CAF absorbed roughly $5 million in deployment expense in the third quarter related to items such as temporary contractor support, proactive customer communication regarding the systems change, and added staffing to handle the elevated call volume once back online. We are extremely excited about this new platform that will not only provide CAF a modernized foundation for growth and efficiency, but will also allow us to enhance our customer experience and self service capabilities. I would like to take this opportunity to thank the CAF organization along with the corresponding project teams, who've worked so tirelessly to build in and implement such a transformative solution for both our associates and our customers. Now I'll turn the call back over to Bill.
Bill Nash: Thank you, Jon. Thank you, Enrique. This quarter continues this year’s strong top-line performance trend. We're benefiting from our investments and are excited about the opportunities that lie ahead. We provide the ability for customers to buy a car 100% in store or 100% online, and our omni-channel capabilities allow our customers to personalize their experience with a mix of digital and physical interactions to meet their needs.  As our omni-channel and online sales continue to grow, we have observed that the vast majority of our customers who buy digitally still elect to take delivery in our stores. This is another proof point that our ability to offer seamless integration across digital and physical transaction is providing value to our customers and is a key differentiator for us. In the third quarter, a little more than 9% of retail unit sales were online, up from the prior year's quarter of 5%. Our wholesale auctions remained virtual, so 100% of wholesale sales, which represents 23% of total revenue are considered online transactions. Total revenue resulting from online transactions was approximately 30%, this is up from 20% in last year’s third quarter. Approximately 57% of retail unit sales were omni sales this quarter, up from 49% in the prior year's quarters. We've been focused on completing the rollout of our 100% self-service experience, where customers, if they choose to can independently complete the entire car buying process online. Currently, more than two-thirds of our customers have access to complete end-to-end, unaided online experience and increase from a little over 50% from our last call. This expansion reflects customer's ability to incorporate trade ends without lanes to their online orders. The remaining two use cases that we will be working through during the fourth quarter are paid transfers and trade ends with lanes. In the third quarter, we bought approximately 194,000 vehicles from customers through our online instant appraisal, which represents about half of our total buys from customers. That's a new record, a 4% increase from our second quarter number and a 19% increase compared to the first quarter. This growth supports our belief that we remain the largest online buyer of used autos from consumers in the U.S. We are continuously enhancing our e-commerce offerings to exceed customer expectations and to seamlessly integrate with our best-in-class store experience. In the third quarter, we continued to make progress on our online finance experience by expanding our finance-based shopping or FBS capability. FBS enables our customers to see personalized finance terms from multiple lenders across the full inventory of vehicles on our website, which is a key differentiator in the retail marketplace.  Roughly 75% of our customers are able to enjoy this experience today. And going forward, we are working towards adding the remaining customers and integrating additional lenders to this experience. Additionally, during the fourth quarter, we will be launching a more sophisticated version of the tool and increasing the speed of digital decisions. Again, we're proud of our strong results for this quarter and year-to-date. By delivering the most customer-centric experience in the industry, we will enable sustainable growth and create meaningful long-term shareholder value. And with that, we'll be happy to take your questions. Jerome?
Operator: [Operator Instructions] Your first question comes from the line of Sharon Zackfia with William Blair. Your line is open. You may now ask your question.
Sharon Zackfia: Hi, good morning and happy holidays. I guess a question on SG&A per car. I mean, it's been kind of at a double digit percentage rate over the last few quarters. And I know that's comparing against a year ago, capacity restrictions, and lesser investments in the business. But I'm curious what your line of sight is into kind of SG&A per car. We're turning into more of a low single digit percentage increase or even starting to leverage that in the future.
Enrique Mayor-Mora: Hey, Sharon, good morning, Happy Holidays to you as well. And three quarters ago in our Analyst Day, we communicated kind of the new way that we were looking at SG&A, which is SG&A as a percent of gross margin or gross profit dollars, as we believe that's much more reflective of how we actually run the business, and more reflective of our efficiency, because we are investing not only in our used car business, but we're investing in technology and platforms and resources to grow our wholesale business, which certainly we've seen so far this year, and certainly this quarter, as well as our CAF business. So we're investing across the board. So if you take a look at SG&A as a percent of gross profit, that's kind of how we manage the business. And, year-to-date, we've leveraged that by 300 basis points. And our intent is that we will leverage this year, when it comes to SG&A, and our plan is to leverage that into the fourth quarter as well.
Sharon Zackfia: Okay, great. Thank you. And then a follow-up question on new car pricing. I mean, there's a lot of debate amongst investors on how much companies such as yourself are benefiting from used car prices. So, is there any way to disaggregate what you think the benefit is, particularly maybe in wholesale GPU from prices, as opposed to the initiatives that you've done that have increased the appraisal volume in general from the online arena?
Bill Nash: Yeah, Sharon. When I think about used car prices, on one side, it's a bit of a headwind, on another side it's a bit of a tailwind. I think, you've hit the area where I think it's more of a tailwind, which is wholesale. So anytime used price valuation goes up, that's a good thing for organizations are buying cars, and certainly it’s a good thing for us. As I think about the wholesale growth or just our growth and self-sufficiency in totality, I would still go back to that we believe that the majority of that growth is really a result of some of the innovations, things like instant appraisal, the instant offer that we have on for appraisals, I think that's driving the majority of the growth. Because even if I go back to the first quarter where we didn't see it was prior to kind of this continued ramp up and valuations, we saw a huge increase in wholesale and just overall buy. So while it is hard to your point to disaggregate the two, I think we believe that the majority of the increase is driven by things that we're doing internally.
Sharon Zackfia: Great. Thank you.
Bill Nash: Thank you, Sharon.
Operator: Your next question comes from Rick Nelson with Stephens. Your line is open.
Rick Nelson: Thanks a lot. Good morning. Nice quarter. I’d like to follow-up on me online penetration, it was 9% up from 5% a year ago, but yet, that stayed stable sequentially. Any thoughts on why we didn't see that grow sequentially?
Bill Nash: Yeah. Good morning, Rick. It was up a little bit. But you're right, it was fairly a small increase from the last quarter. And, as I think about it, one of the reasons that we got our self-progression up to about two-thirds was because we added some functionality to the trades that don't have liens. And we added that more to the latter part of the quarter last year. And I think what we're really seeing is we're giving customers options to do different things.  So while they may think, okay, I'm going to do an online sale, as I said in my opening remarks, some people are still -- they're coming in and wanting to deliver in the store, they want to do a couple things in the store. So I think a big driver is just options. We give consumers options and so they may think they're going to do one thing, and they actually take a different path, which that's what we're all about.  We don't care which way a consumer wants to buy or how they want it delivered, we just want to make sure that we're giving them the most personalized experience. I'd expect to see this percent continue to go up. But again, it's going to be more driven by the customer's behaviors than us forcing anybody to go one way or the other.
Rick Nelson: Okay. Thanks, Bill.
Bill Nash: Sure.
Operator: Your next question comes from the line of Craig Kennison with Baird. Your line is open.
Craig Kennison: Hey, good morning and happy holidays. My question has to do with affordability. With your ASPs up over $6,000 to more than $28,000, are you seeing the high prices crowd out, any segment of your customer base, especially among your less affluent consumers?
Bill Nash: Yeah. So, Craig, I think this goes back to a little bit of Sharon's question where I said, we've got some headwinds, we've got some tailwind. When you think about ASPs, the tailwind is more on the wholesale. The headwind, I think there is a little bit of a headwind on the retail side. While you're benefiting from less new cars that are out there so you’re probably getting some new car customers that are looking for higher selection, the fact that the price is up. I think that does pinch some consumers out especially at the lower end of the credit spectrum, it could make it more difficult for them. This is also the reason why we stay very focused on trying to make sure we can continue to pass along efficiencies to customers, just to make sure that we can give them as good a deal as possible, which, again, is why we took a lot of our self-sufficiency gains and put it through in prices.
Jon Daniels: Yeah, Craig, and I'll just accentuate that comment, I made my prepared remarks. I think this makes us feel all the more better given the ASPs on our 95% plus approval rate on those that did come through the door. And our lending platform and our lenders down in that space still able to provide strong quality offers. So certainly, recognize it can be a challenge down there, but we feel like we have the credit to provide those customers.
Craig Kennison: Great. Thank you.
Bill Nash: Thank you, Craig.
Operator: Your next question comes from the line of John Murphy with Bank of America. Your line is open.
Aileen Smith: Good morning, everyone. This is Aileen Smith on for John. I wanted to ask a question and circle back to one of the targets that you provided at your Analyst Day back in May, which was to sell 2 million vehicles per year by 2026 across the retail and wholesale channels. At the time, your volume levers were closer to the 1.2 range. But based on where 4Q lands, you're probably going to be close to 1.6, 1.7 for this year, which is impressive.  So first question relative to when you provided that outlook six months ago, what segment of the business has been performing perhaps better than expectations? Retail or wholesale? And second, what factors would you attribute to this, more so increasing inventory through sourcing efforts or making progress with your customers on omni-channel or other offerings?
Bill Nash: Yeah, so the way I think about it is, we've been pleasantly surprised by some of innovations. We expected to increase sales, both wholesale and retail, and which is why we set the goal out there. Obviously, wholesale has been very strong, but so is retail, top-line retail has been strong as well. So we're very pleased. And, I think it's a little too early. We just put those targets out there, not that long ago, but we'll be reviewing those targets probably later on in the year after the year-end and potentially updating. But I think it's a little early at this point.
Enrique Mayor-Mora: Yeah, I would agree with that. And I think, we've said on our previous calls, our performance and our instant offer has really exceeded our expectations. We put that product out really in the first quarter and it just has taken off. It's resonated with our consumers, it's resonated with the marketplace. And that has really driven a good part of our business through self-sufficiency, but also driving wholesale business as well.  So that has exceeded our expectations. And it's gotten -- our instant offer program has gotten stronger every single quarter. So second quarter was stronger than the first, third quarter was stronger than the second. So it seems to be building momentum out there in the marketplace.
Aileen Smith: Great. That's helpful. Thanks for taking my question.
Bill Nash: Thank you. Your next question comes from the line of Rajat Gupta with JP Morgan. Your line is open.
Rajat Gupta: Great. Good morning. Thanks for taking the question. Just wanted to follow-up on just the labor and capacity situation today. How comfortable are you with the pace of hiring and the level of staffing that you have at your stores, just to serve the demand that is to come in the near to medium-term? And I had a follow-up?
Bill Nash: Yeah, we feel, like I said in my prepared remarks, we feel great about the momentum both in inventory and staffing. If I look at staffing, just for the quarter, we hired more than 2,000 associates. And obviously the majority of those are in the field and the customer experience center. So we're on a good trend there. We’re a little wide where we'd like to be and also this is a time of year where we start to ramp up for the traditional tax season.  But we feel great about that. We also feel great about our ability to produce cars. As I said earlier, we're sequentially building every single month and we've continued that trend early into this fourth quarter. We're very confident that we can get both to where we need that we've got the resources and the wherewithal to take care of both.
Rajat Gupta: Got it. That’s helpful. And just kind of follow-up on CAF, you’ve increased your Tier 2, Tier 3 mix within CAF over the last few quarters. And if I compare it to two years ago, it looks like your third-party Tier 2 mix is also higher, whereas you've also increased the Tier 2 mix within CAF. So just curious as to like, what's changing in your overall customer base in general? Is there like a more permanent shift taking towards maturity on three months? Or, is this just more a one-time thing, just curious how that's going to change and how that impacts the business?
Jon Daniels: Yeah, appreciate the question. Yeah, so within the Tier 2 percentage, obviously, you saw that that went up within the quarter. A couple things going on there, penetration or the amount of sales that a Tier or a lender will take is certainly a function of those that are applying for credit.  We did mention that there was less volume down in the lower kind of subprime space, that'll take volume from Tier 3. But I think also very important of note is that the credit offers from our Tier 2 lenders has been spectacular, and they're probably pulling some volume up out of Tier 3, which is positive, obviously, from a participation standpoint. So that’s strong. Obviously, you did recognize the CAF is in the Tier 2 space as well, so we're taking some volume there. But I think the combination of the credit quality that are applying, and then the Tier 2 strength of offers is what's changing in the Tier 2 and Tier 3 space.
Rajat Gupta: Great. Thank you.
Operator: And your next question comes from the line of Brian Nagel with Oppenheimer. Your line is open.
Brian Nagel: Good morning. Nice quarter. Congratulations.
Bill Nash: Thank you, Brian.
Brian Nagel: So the question I want to ask, probably a bit of a follow-up some of the prior questions. But look, there was definitely a nice acceleration in the used car business from fiscal Q2 to fiscal Q3. Bill, you talked in your prepared comments about and in some of the responses to questions about the inventory, maybe the inventory constraints lighten up. I guess my question is, how should we really think about this acceleration? What were the key factors behind it? And was it more supply more demand driven? And then, I recognize you don't give guidance. How should we consider maybe its sustainability what we're seeing in the business at least as of the end of Q3?
Bill Nash: Yeah. So Brian, thank you for the question. First of all, I got to give a shout out to the team because they've done just a phenomenal job from an execution standpoint, taking advantage of the opportunities. Like I did say, I think the fact that we have been light in inventory, especially in the second quarter, and how we've continued to work through that, I think that's a big factor.  I think the staffing is another big factor, because we're understaffed in the stores and our customer experience centers. We continue to make enhancements on our omni-channel experience. If I think about just year-over-year, online and omni-channel this year was roughly, let's call it 66% of sales, a year ago it was 53% of the sales. I think passing along efficiencies in pricing, last quarter was really the first quarter that we had seen self-sufficiency above 70%. And we saw that continued through this quarter being able to pass those savings along I think were also a good thing. So I think there's a lot that's playing into, and it's really hard to say, okay, well, this piece of it or that piece. We felt great about the quarter, they were strong every month in the quarter. And you're right, we don't give guidance. But I'll tell you, we're pleased with the start of the fourth quarter.
Brian Nagel: Perfect. And then if I could follow-up to that as we think about the business, what constraints are still in place? Is it inventory, labor, other things? And then how should we think about those constraints abating again, and just over the next say few months or whatever?
Bill Nash: Yeah, I think you hit labor, I think labor is one that we'll continue to focus on. While we've made great progress, we want to hire some more folks there. And that's pretty much across the whole organization. So I think that's another one that we're continue to focus on making great progress, as well as inventory. We'll continue to build out inventory. But like I said earlier, I think we have the resources and we are on the right path to make sure that we'll be able to get our inventory to where it needs to be in time for any type of tax time sales. And I'll tell you the other thing is if I look over the next year, we're also -- as part of our planned growth we have roughly let's call it 10 new production centers opening up, some of them are part of geo, some of them are part of the expansion plans that we'd already started. So we've got the resources we need and we're on a good trajectory. But those are I think shorter-term focuses for us certainly.
Enrique Mayor-Mora: Brian, what I would add to that is between the improvements in staffing and certainly the physical capacity that we have today and moving forward. What I’d tell you is that, we have a strong belief that we are operationally strong and ready for growth. So we are well-positioned.
Brian Nagel: Got it. Congrats again. Thank you. Happy holidays.
Enrique Mayor-Mora: You too.
Operator: Your next question comes from the line of Seth Basham with Wedbush Securities. Your line is open.
Seth Basham: Thanks a lot, and good morning. My first question is regarding the self-sufficiency ratio, which was again up over 70% this quarter, second time in a row. But this quarter, we saw your retail unit comps really accelerate and your GPU be much stronger year-over-year than last quarter. Can you help us understand the dynamics that are driving those big changes from one quarter to the next?
Bill Nash: Yeah, I think I spoke a little bit about the comps and all the factors that kind of drove that in there. I mean, obviously, the self-sufficiency is at a high for entire second quarter. We were able to pass those efficiencies along. And like I said in my prepared remarks, what we're trying to do is walk a fine balance here. We know prices are up 30% for us, we know that puts pressure for some customer.  So we're really trying to make the vehicles as affordable as possible. We'll continue this quarter, just like we did last quarter, we continue to look at inventory levels, test elasticity, check competitors inventory, there's a lot of things that go into this. But I do think we struck the right balance, both from a margin standpoint, kind of coming in historically high. If you look at recent margin ranges for the last few years, I think we came in high on that. But still, we're able to pass along some great efficiencies to the consumers.
Seth Basham: Right. Just to follow-up, last quarter we didn't see as much improvement in GPU or comp. Is the delta between last quarter and this quarter, therefore due to market forces, such as the difference between market retail and wholesale prices? Or is there something else?
Bill Nash: Well, I think this is -- last quarter was the first time we'd really achieved self-sufficiency over 70%. And what we did realize last quarter, we pretty much were passing along. What I’d tell you is, if you look at the market, and we don't talk about market here till the end of the year, because there's definitely a lag and you have to look at it on a calendar year basis due to that lag. But, some of the external sources are out there that will tell you that the use car just overall market is either flat or maybe even negative in the last few months. And we think that bodes well for the gains that we're starting to see. So, I think what you're really seeing here is you're seeing a combination of a whole bunch of things that are really kind of came to fruition. Like I talked about all the different things for comp, but I think what you're starting to see there's just a lot of factors that really played in on the third quarter results.
Seth Basham: Good to see. Thanks, congrats and happy holidays.
Bill Nash: Thanks, Seth. You too.
Operator: Your next question comes from the line of Michael Montani with Evercore ISI. Your line is open.
Michael Montani: Great. Thanks for taking the question, and congrats on the quarter.
Bill Nash: Thank you, Michael.
Michael Montani: Just wanted to clarify one thing and then had a question on provisioning. But from a clarification standpoint, into the fourth quarter Enrique, just want to make sure I heard you correctly that you all would look to potentially lever to SG&A to gross ratio in the fourth quarter. Just wanted to clarify that first of all, and then I had follow-up.
Enrique Mayor-Mora: Yeah. No, that's what I said. Our intent is to lever into the fourth quarter.
Michael Montani: Okay, great. And then the follow-up I had was just from a provisioning standpoint, just wanted to understand moving forward, how you all are thinking about basically that line item within CAF? Because obviously, you've got potential for further improvements and unemployment rate and stubbornly high kind of used car prices, which theoretically should help you out. But then there's obviously more Tier 2 that you're doing and so forth. So, now that the reserve has been kind of built up again a little bit, should we think $75 million a quarter more or less, or any color you can provide there would help a lot?
Jon Daniels: Yeah. Great question, Michael. Yeah, if we think about the combination of the reserve and the provision exactly as you stated, our reserve right now metrically uses the 2.75% reserve to receivables. Remember, in there is as you stated Tier 1, but also Tier 2, Tier 3 volume and then some expense for recovery there. If you back out that Tier 1 as I mentioned, we feel like we're getting our normal range of 2% to 2.5% for that Tier 1 business. Also if you look at what we originated in the quarter, $2.4 billion, again, recognizing that there's Tier 1, a higher loss of Tier 2 and Tier 3 in that originations, as well as the recovery expense. But $76 million feels very much close to normal for that size of origination. So I think you're right on the mark here. It's something we feel like we’re at a normal percentage from a loss rate perspective and I would think about that going forward. And one thing I'll point out as a reminder, again, the provision was substantial at the height of the pandemic, a $122 million done back in quarter one of FY ‘21. And as we saw performance improved, really fantastic performance from our consumers, we were able to reduce that provision over time. So the fact that we comped over last year's quarter three is fantastic. So we realize we've still got that comping to do. But yes, agree, we're in a normal environment right now.
Michael Montani: Thank you.
Bill Nash: Thank you, Michael.
Operator: Your next question comes from the line of Adam Jonas with Morgan Stanley. Your line is open.
Adam Jonas: Thanks, everybody. Happy holidays. So would love to know how online looks on GPU versus the $2,235. Is it higher or lower than that? And as a follow-up, you mentioned, the vast majority of your customers still prefer pickup in store within the online label. I'm curious if you can tell us how many, or what portion of the 9% did opt for home delivery? Thanks.
Bill Nash: Okay. So on your first question, online GPU, it's the same as in the in store. It doesn't matter if you buy it online or in store, the GPU is relatively the same. As far as the 9% online sales, the way we think about it is we speak to it more alternative delivery, which is includes home delivery as well as express pickup. And when I think about that, that percent of just total sales, obviously, is less than 10%, with the bulk of it being more express pickups where the customers come into the store, they've already filled out everything and maybe one or two little things to do, but we get them in and out and very quickly. So, that's the bigger share versus the home delivery.
Adam Jonas: Yeah. I didn't know if you want to specify that. You did say vast majority, I just didn't know if it was 90% of the 9% or 70% of the 9% just for home delivery.
Bill Nash: For home delivery, it's a much smaller percent of that.
Adam Jonas: Alright, we'll leave it there. Thanks, Bill.
Bill Nash: Okay. Thank you.
Operator: Your next question comes from the line of Chris Bottiglieri with BNP Paribas. Your line is open.
Chris Bottiglieri: Hey, guys, thanks for taking the question. I just had a quick follow-up on the credit, and then have another credit question. So the first one, it sounds like in response to Mike's question, like Michael Montani's question earlier, like there was no impact, I mean, the system's impact. You seem to imply there is some kind of impact on gross losses recovery, but then said like it wasn't having to provision. So I’m just trying to triangulate those two, like was there any impact on gross losses recovery this quarter? Or is it more like just on the overhead expense?
Jon Daniels: Yeah, fair question, Chris. Yeah, as I said in my prepared remarks, a big systems change a lot of -- a fair amount of disruption that we are fully expecting and planned for. But as we've come online and caught up with the volumes, we've seen those delinquencies trend down to more normal levels, but absolutely no impact. And we believe it's immaterial on the full lifetime loss of the portfolio. And so that's obviously nothing in there in the provision and the corresponding reserve.
Bill Nash: Yeah, just to add on that, Chris. It was immaterial last quarter and anticipation of it, it was immaterial again this quarter.
Chris Bottiglieri: That’s helpful. Okay. And then just bigger picture question. Can you elaborate more on the lower rates on new loans this quarter, compared to last quarter? And you mentioned, like kind of rate testing, your peer made a -- a large online peer made a similar comment last quarter. Just timing feels a little bit unusual to the experiment cutting rates, and we're actually seeing the inverse happening where the markets raising rates now, in terms of like the Tier rates.  So I guess, like, first question is with that backdrop, have you found customers historically become more rate sensitive when rates rise? And is that the motivation for testing? And then like, just using some kind of historical precedent how should we think about the impact on rates to customers in periods where funding costs go up? Like how big of a lag is there between passing those rate increases through?
Jon Daniels: Yeah, great questions, Chris. Yeah, as I mentioned in the prepared remarks, yes, we did execute some rate testing this quarter. It's what we do, we're always trying to keep an eye on what the market is doing. We can Look at a number of metrics internally, again, our capture rate or our booking rate, which results in our penetration, three day payoffs, a number of metrics we can keep an eye on. But most importantly for CAF is as the sole Tier 1 lender, we want to be highly competitive for our customers, provide the best possible offers we can. So it made sense. We just wanted to get the pulse of the market. We did some rate testing, and we're watching that very carefully. As you mentioned, certainly the Fed did come out and signal that there's going to be rate increases in the future. Again, we'll manage that as we always do. We'll look at what the peers do, how the market reacts often in a rising rate environment. To your point, you will see a lag there, it won't get passed along to the customer right away.  We're not looking to get out in front of that. We'll again remain highly competitive in our rates. And we will test as we always do accordingly, we will watch how the market is moving, what those take rates are. And then if it makes sense to pass along to the customers, we will. But if it impacts sales to cars, or the experience or our CAF capture rate, then we may not. So the testing will drive what we do.
Bill Nash: Yeah, and I think the great thing about CAF, Chris is that they're not just focused on maximizing their own profit. The beauty is they're working on profit, but they're also working to help maximize sales. So our decisions may sometimes vary from other players that are just purely in the finance arena.
Chris Bottiglieri: Got you. It makes sense. Thanks for the help, appreciate it.
Bill Nash: Thank you.
Operator: Your next question comes from the line of David Bellinger with Wolfe Research. Your line is open.
David Bellinger: Hey, good morning, thanks for taking my question. I want to ask nearly 200,000 vehicles sourced from consumers through the instant appraisal. Can we get a sense of just how many offers you're making each quarter? Is the conversion rate improving sequentially? And given all the data you're now armed within deploying more effectively, are you seeing better engagement or even repeat activity from past customers?
Bill Nash: Yeah. Good morning, David. On the Online offers, as you can imagine, we make a lot of online offers. Some of the customers are just really shopping for their value, and they're not really interested in selling or even buying a car. So, we're making a couple million offers a year. As I think about the conversion, really the way we've talked about it in the past is, the customers show up at our store they are there to get their vehicle appraise, whether they haven't had it appraised online, or whether they have had it appraised online. We look at the buy rate from that standpoint. So if I look at the traditional appraisal lane, where a customer hasn't had it appraised online, we're really seeing mid 30 buy rate, which is great. On the online side, as you can imagine if they've already had their vehicle valued online and they're showing up at the store, then that certainly is going to be a higher buy rate. So it pulls the overall by rate up. But I think, I don't think we should look at it necessarily, as of the ones that have offers, how many of them actually sold. We do see some good improvement there. But that's not really how we think about the business.
David Bellinger: Got it. And anything on the repeat activity, you see more engagement from past customers in terms of the instant appraisal.
Bill Nash: You know what, David, I'd have to go back and look and see how many of them are customers that have had an appraised price. I don't have that number off the top of my head.
David Bellinger: Okay. Well, thanks for the call. I appreciate it, Bill.
Operator: Thank you. [Operator Instructions] Your next question comes from the line of David Whiston with Morningstar. Your line is open.
David Whiston: Thanks. Good morning. I’m curious if you don't mind looking forward ahead in the future a bit. I'm just curious what your thoughts are on as the chip shortage improves a new vehicle inventory over the say the next 18-months. Will that cause use pricing to crash kind of hard and abruptly? Or do you see a soft landing? And if you see a harder landing, are you worried about your customers perhaps having too much negative equity that they may stay out of the store and stay out of the market in ‘23?
Bill Nash: Yeah, it's a tough question to really gauge when I think the chip shortage will kind of correct itself. I mean, whatever I tell you is probably going to be wrong. What I believe will be we'll start to see some relief maybe latter part of next year. I think it's not going to be like a faucet that just automatically turns on overnight. So as more chips are available, more new cars are available, you'll start to see the impact on used vehicle prices. I think, anytime sales prices are up 30% year-over-year, I think there is a risk that down the road, there could be some more negative equity out there. But I can tell you we've been in business a long time, we've been through a lot of cycles up and down. And we've proven that we can work through any such factors, whether it be negative equity, whether it be depreciation in the marketplace. And I would actually tell you, I think we are able to handle that and do a much better job than anybody else just given our experience. So stay tuned. It's hard to know when we'll get some relief on just overall used car prices. And just one other thing on the previous David's question while on the IO the team here informed me I misspoke. It's actually, I think what I said was a couple million dollars a year, it's actually a couple million per quarter. I misspoke. I meant to say quarter versus year. So I just wanted to clarify that for him as well.
David Whiston: Okay. And you talked about mitigating negative equity, is it possible to CAF can be more aggressive in a negative equity situation?
Jon Daniels: I don't think that we're going to necessarily adjust our underwriting given a particular situation of where ASPs are and negative equity and all that. Again, all in all, CAF being the captive lender, a great environment to always think about sales and capture that in our decisions. But again, we want to underwrite a strong credit customer. We're going to be ABS market, we need a solid book of business. So, I just think we are very focused on delivering sales and credit quality.
Bill Nash: Yeah. And we deal with negative equity customers all the time. The CAF team does a phenomenal job there, just like our third-party lenders do.
David Whiston: Okay. Thanks.
Bill Nash: Thank you.
Operator: Thank you. And we don't have any further questions. At this time, I'll hand the call back to Bill, for any closing remarks.
Bill Nash: Great. Thank you all for joining the call today and your questions and your support. As I said earlier, we're really excited about the opportunities in front of us. And as I always do, I want to thank all of our associates for everything that they do, how they take care of each other and our customers. They are really the reason for our success and why we remain such a positive disruptive force in the used car industry. So I wish all of our associates and all of you a happy holiday season, and we'll talk again next quarter. Thank you for your time.
Operator: Thank you. Ladies and gentlemen, that concludes third quarter fiscal year 2022 CarMax earnings release conference call. You may now disconnect.